Operator: Thank you for joining Forward Air Corporation's Second Quarter 2013 Earnings Release Conference Call. Before we begin, I'd like to point out that both the press release in this call are accessible on the Investor Relations section of Forward Air's website at www.forwardair.com. With us this morning are Chairman, President and CEO, Bruce Campbell; and Senior Vice President and CFO, Rodney Bell. By now, you should have received the press release announcing second quarter 2013 results, which were furnished to the SEC on Form 8-K and on the wire yesterday after market close. Please be aware, this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding the company's expected future financial performance. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, words such as believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in our filings with the Securities and Exchange Commission and in the press release issued yesterday. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I will now turn the conference over to Rodney Bell, CFO, who will provide certain financial comments on Forward Air's results. Please go ahead.
Rodney L. Bell: Thank you, operator. And thank you, all, for joining us this morning. I'll make some brief comments regarding results, then we'll go straight to Q&A. Starting with our Forward Air, Inc. reporting segment, which we breakout on Page 7 of our earnings release. Total segment revenues were down year-over-year by $6.4 million or 4.9%. The loss of a large customer resulted in an approximately $6 million loss of revenue that was about half in linehaul and about half in Forward Air Complete. Additionally, continued processing challenges in what we view as a tepid economic environment combined for lower-than-expected revenues and results. Airport-to-Airport revenue, inclusive of Forward Air Complete, was down 5.1%. This resulted from total tonnage being down 2.1% for the quarter and a 3.1% decrease in yield. Average weekly tonnage, which had the same year-over-year number of business days, was down 2.1% for the quarter. And progressed as follows: April was plus 2%; May was flat; and June, which is typically our strongest monthly quarter, was down 6%. The yield decline consistent with-- the yield decline consist of negative 0.4% for the linehaul processing and negative 0.3% for net fuel surcharge and was down 2.4% from the impact of Forward Air Complete. Complete revenue declined approximately 18% as a result of the previously mentioned loss of a large customer. This comp will persist until the end of October. At our Logistics revenue, which is primarily TLX expedited truckload business declined $1.2 million or 5.5%. This was primarily due to lower demand from our core customers. In the past few weeks, we have seen a reversal of this trend. Other revenues were flat with the prior year quarter. For FAI, we were able to match the 4.9% decrease in revenues with a $5.2 million or 4.9% decrease in operating expenses, maintaining last year's 82.3% OR. Approximately half of the FAI year-over-year $0.04 EPS decline was due to a higher share count. Moving to our Solutions segment. On the strength of new business wins, Solutions grew by $5.9 million or 32.3%. Unfortunately, a handful of locations experienced costly operation difficulties. This was primarily from the integration of a new customer and resulted in a loss of $240,000 for the quarter. Structural, as well as personnel changes have been made in order to improve operations in those locations. With these changes and increased volumes from back-to-school -- from the back-to-school season, we anticipate solution to be a contributor in 2002 -- pardon me, Q3 earnings. Lastly, is our TQI segment, which is our newest reporting segment. On revenues of $12.2 million, we dropped $806,000 to the operating income line, posting a 93.4% OR for Q2. Each month of the quarter saw improved operating ratio with a 92.7% OR in June. While TQI integration, in additions of new business have come somewhat slower than expected, we've made good progress and continue to be pleased with our expanding margins and potential for profitable new business growth. Wrapping up my comments, these are on a consolidated level. Our tax rate was 38.2% for the quarter compared to 38.4% a year ago. Net CapEx for the quarter was $15 million and -- for the quarter, and $27 million year-to-date, against a full year CapEx budget of approximately $35 million. We ended the quarter with $81.1 million in cash, essentially no debt and $138 million available on our $150 million line of credit. Lastly, we anticipate the second quarter -- lastly we -- pardon me, anticipate third quarter revenue will be in the range of 10% to 15%, with approximately 8% of that growth coming from the TQI acquisition. Income per diluted share is expected to be between $0.43 and $0.48 per share compared to $0.41 last year. That concludes our comments. Now back to the operator for your questions.
Operator: [Operator Instructions] The first question is from the line of Jack Atkins with Stephens.
Jack Atkins - Stephens Inc., Research Division: I guess, first off, could we maybe talk about the volume assumptions that underpin the 3Q guidance? And any sort of color you could give us, Rodney, on how July has been trending so far?
Rodney L. Bell: Sure, Jack. Volumes assumptions on the low end of the range are essentially flat. On the higher end of the range are positive 3%. Thus far, in the quarter, which is relatively, early in the quarter, volumes have been choppy. I mean, last week, they were up 3%, they're flattish this month. So there's still a fair amount of choppiness out there.
Jack Atkins - Stephens Inc., Research Division: Okay, okay, that's helpful. And then on the customer implementation issues at Solutions, how long do you think that, that's going to be sort of a headwind there? It sounds like you guys have taken some pretty aggressive actions to rightsize that. And have you all given any consideration, maybe slowing the growth rate down at Solutions a little bit to sort of absorb what you want in recent quarters? Or is the growth trajectory still pretty strong there?
Bruce A. Campbell: You sound like us talking the other day concerning Solutions. And that's number one, we don't need any additional business, although that's a hard thing to say. We continue to cultivate our customer base and look for new opportunities. But the next 2 to 3 months, we need to settle in and get these -- and it's really isolated to 2 terminals, because the rest of them were doing a great job. We need to get them fixed, if you will, and start showing a really good return. And that's our whole goal for the next foreseeable future.
Jack Atkins - Stephens Inc., Research Division: Okay, that's great. And last question from me, and I'll jump back in the queue. It seems like the competitive pricing behavior that you all have seen over the last couple of quarters really isn't sustainable over the long term. And just sort of curious, how long do you think these pricing -- these competitive pricing trends can continue? And do you think you'll be able to get a GRI through this year?
Bruce A. Campbell: That's going to be questionable. We evaluate that. We've got to look at that in the next few weeks, but probably, unlikely. We will fight the battle, as we have since the idiots [ph] started pricing the way they do. We're able to make our rent payments, which evidently, some of our competitors can't make. So we'll just continue to press forward, provide quality service to our customers and know and understand how to price.
Operator: The next question comes from the line of Ben Hartford with Baird.
Benjamin J. Hartford - Robert W. Baird & Co. Incorporated, Research Division: So in the context of some of the volume weakness this quarter, I was hoping you can talk a little bit -- if you can talk strategically about where the Airport-to-Airport products sits? And I know that there's some irrational pricing. We know that volumes generally in the industry were tough in the second quarter, but if you think about Forward Air's value prop, as it relates to some of your customers, and specifically in the effort to go more door to door, away from just the port-to-port moves, how should we think about the -- any opportunity to offset some of the volume weakness, given your attention on service and your customers' attention on final mile and capturing more of that door-to-door-type move against what is still a lumpy demand environment, very competitive pricing environment as well?
Bruce A. Campbell: Overall, we would view that for the probably, next 6 months, it's going to be a tough market. That having been said, we're in great position to do many of the things you just suggested. So our teams are working hard. They're focused on not only providing their Airport-to-Airport product but also the Complete. We know by pulling out the large customer that we basically walked away from a year ago, that they have made significant strides in terms of adding more and more complete attachment to our product line, so we're happy with that. Obviously, the loss of a large customer distorts it, but through the, let's say, the next 6 months, we'll ride, as Rodney calls it the choppy waves, and then we'll come out stronger than ever.
Benjamin J. Hartford - Robert W. Baird & Co. Incorporated, Research Division: Yes, 3 months ago, we were talking about a weak first quarter with some improvement off in the first 2 or 3 weeks in April, and it sounds like there's a similar type of cadence today. And I know the environment's weak and choppy. But, generally, forwarders have talked ever so more optimistically about the back half of the year from an air freight perspective. And I'm just wondering, I know your visibility is limited, but the level of confidence of any sort of second-half peak, as you sit here today, in the third week of July?
Bruce A. Campbell: I think it would be extremely difficult to say that -- for anyone to say, gee, we're going to have not only us, but the industry in general is going to have a strong second half. We all hope for it, obviously, but you certainly won't hear it come out of my mouth.
Benjamin J. Hartford - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, Rodney, just thinking about balancing the acquisition and hearing Bruce about talk wanting to shore up some of the terminals within certain acquisitions that you have executed versus some opportunistic share repurchase opportunities. How do you think about the 2 over the next 3 months?
Rodney L. Bell: Well, we have said this before. I mean, we continue to look hard for acquisitions. Obviously, within the core business would be the most advantageous. I mean, it's accretive in the first 5 minutes, and, typically, we can handwrite those pretty quickly. But as we demonstrated with TQI, we look outside the core for quality companies that -- where we can bring value, so that's number one. But we've also shown in the past that we're very -- we're prone to go back in and be opportunistic repurchasing the shares. And if we see the pullback in the stock, and we feel very strongly about our own story, and we would do that.
Operator: The next question comes from the line of David Ross with Stifel.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Sort of a clarification question. Rodney, when you talk about the volumes for April, May and June, was that shipments or tonnage?
Rodney L. Bell: That was tonnage, Dave.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Okay, linehaul tonnage?
Rodney L. Bell: Yes.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then, with the -- for your Solutions business, what exactly were the difficulties on boarding those locations where they had problems? Was it technology integration? Was it labor, damages, deliveries?
Bruce A. Campbell: The answer is yes.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Was one of them kind of the biggest issue?
Bruce A. Campbell: Simply, they -- first of all, the volume was more than we originally anticipated. And then, things went kind of bad from there. Once a facility gets overwhelmed, it's very difficult to just get that caught up and get everything in place. We brought in, our people responded, and they did a good job of cleaning it up. We've got a good team in there now, and they continue to get us where we need to be. But once it occurs like that, it's very difficult to just snap your fingers and make it go away.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Understandable. And then when you talk about the irrational pricing environment, how does that compare to prior periods when you talk about gutter level pricing?
Rodney L. Bell: Well, it's below the gutter this time. They're down the drain.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Are these new entrants, or kind of just existing competitors doing things differently?
Rodney L. Bell: I think it's a lot of really desperate people, so they do what they have to do. We certainly stand there and look and say, really. Even to the extent of sending out e-mails that give them a $0.05 price from Atlanta to anywhere in Florida. That's amazing. And that's just amazing. So good for them. They'll stand at the bankruptcy court probably one day and we'll look at our bank accounts and say, we've got $100 million in cash.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: That's been the way it's worked in past cycles, of course.
Bruce A. Campbell: Exactly.
Chris C. Ruble: And last question, just the relative strength at the core Airport-to-Airport business between -- what I would call the international distribution business and your domestic deferred air freight business?
Bruce A. Campbell: We've seen a little bit of comeback on the airline side. It's certainly not something that makes us jump up and down and scream, but they've probably best said bottomed and have started to come back a little bit, so that's encouraging.
Operator: The next question comes from the line of Todd Fowler with KeyBanc Capital Markets.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: The 6% decline in tonnage in June, I guess I'm curious. We've heard some mixed things about how June came together. Does that feel like that, that was more the economic environment? Or did some of the competitive factor specific to your business, did that heat up for you in June?
Bruce A. Campbell: The best answer, Todd, from our standpoint is probably a combination of the 2.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: And then, Bruce, so are there any areas where you're seeing -- you've given some good color in the past about some areas that have been stronger or weaker. I mean, what are you seeing, what did you see kind of in the second quarter? And what are you seeing right now as far as pockets of strength or weakness?
Bruce A. Campbell: That's a great question. And, typically, in the past, we could pinpoint weak areas. What we experienced today is across the board. I mean, our Southwest region will be booming, and then all of a sudden, it'll go soft. And that's comparable with all our other regions for the most part. So it's really, across the board, sporadic. Nothing you can put your finger on, nothing that you can say, "Okay, we're going to be heavy, or we're going to be light out of a certain region." It's just really difficult to pinpoint.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: And I'm not trying to ask something that I know the answer to, but I mean, in that environment, to me, it sounds like that, that's probably the most difficult. For you to manage the business, I mean, it seems like you probably had to keep staffing in a certain level. And you can't probably fully flex down on the variable cost aspect of this week's going to be better than last week. I mean, is that the right -- and I guess, in that context, I look at the margins here in the Airport-to-Airport business, and they were very good considering that environment. Is that part of the challenge though, is that it is inconsistent and that impacts kind of the variable cost piece?
Bruce A. Campbell: I mean, you're right on the money. I thought our people considering that type of variability to demand throughout the quarter, did -- I thought, they just did a great job. The bigger cost that we have the kind of deal with is our purchase transportation, because if you're expecting a 25 loads out of Dallas tonight and you get 10, you've got people who are upset, obviously. And the reverse is true, if you plan for 10, you got 25, now we're screaming to cover the loads. Typically, when you scramble to cover the load, it's costly. So I really thought our people did a great job throughout the quarter.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: Okay. A couple of quick ones on TQI. Rodney, I think you made a comment that the revenue was a little bit below expectations here in the quarter. Do you have any comments as to why that was? And do you have a number for maybe what the growth rate would have been on a year-over-year basis in the second quarter?
Rodney L. Bell: Yes, part of that was by design, Todd. This is high levels of service, high levels of security, so we want to make sure that we've got qualified, good capacity employees. And that's been a little slower to come on, recruiting of owner-operators. And we've had to a certain extent, do a little recapitalization on some worn out equipment , and you just can't get that in overnight. Additionally, we're in the process of putting in our operating system, so to a certain degree, it was by design, but the other part of that is that the sales cycle and the qualifying cycle, once you get the business in this particular business is slower than our core. So this solid growth, 15%, 20%, once we get all of the pieces in place.
Bruce A. Campbell: But, overall, if I could add to that Todd, I thought they did a great job. Every single month, they've improved their operating ratio. And then that's highlighted by the fact that we are now certain to bring on new customers, Terry and Arnie [ph] and their group did a great job. They just brought on a large pharmaceutical company in the last 2 weeks to add to their existing business. So we really think TQI has done a good job. And we look forward to seeing what they'll do for us in the future.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: Okay. And then so if I think about TQI on the cost side, if I look at the second quarter, I mean, are there any unusual costs, I mean, related to like integration or bringing onboard? Or are these numbers that I should think about as a run rate going forward? And are there any additional costs that you're going to have for TQI as you continue to invest in that business and get it up to where it needs to be?
Bruce A. Campbell: I think overall, we're about where we anticipated being in terms of an operating ratio. We will continue, as we bring on business to leverage our existing cost structure and make it even better. So if you use second quarter and build in some slight improvement throughout the balance of the year, I think you'll be good.
Operator: The next question comes from the line of Kevin Sterling with BB&T Capital Markets.
Kevin W. Sterling - BB&T Capital Markets, Research Division: Rodney, you've mentioned a stock buyback. Do you have a buyback authorization in place right now?
Rodney L. Bell: We do. It's -- there's just over 800,000 shares remaining.
Kevin W. Sterling - BB&T Capital Markets, Research Division: Okay. All right. And, Bruce, not to beat a dead horse on pricing, but maybe I can ask a question a different way. We've been seeing this squirrely pricing for some time and as you know, desperate companies looks to make a market share grab. That strategy is not always sustainable in the long term. And usually, what happens is service deteriorates, so my question is, are you having some customers come back to you, who may have left because of pricing, but coming back to you because the service is so bad?
Bruce A. Campbell: We've had some occasions where that occurred. Typically, what our customer base, what we see them do is if they have a shipment that is deferred, that they don't need expedited delivery on, then they'll turn to that shipment to whoever gives them the lowest cost. But if they need service, then they're going to give it to us, because they know we'll do it. As you said, we've been through it, we'll continue to go through it. And in the end, we'll have money in the bank.
Operator: The next question is from the line of Scott Group with Wolfe Research.
Reena E. Krishnan - Wolfe Research, LLC: It's actually Reena Krishnan on the line for Scott Group. And I apologize if you guys may have already answered this, but in terms of just the guidance, if you could just give us a sense, given what happened in Q2 in terms of the miss, how much conservatism is kind of built in to your expectations here? Given what you're comments on the pricing environment and what -- how tonnage trends were last quarter in terms of how they ended up in June relative to where they started. Is the expectation that tonnage levels can stay positive, and if you're not implementing or it doesn't sound like you're planning to implement a GRI, just trying to understand what maybe are some of the underlying points here, and how conservative those could potentially be?
Rodney L. Bell: Sure. On the low end of the guidance, it's we're assuming just flat tonnage, as well as yield. And to your point, typically, when you come out of a miss like we just did, it's -- I think it's somewhat human nature to attempt to under-promise and hopefully, over-deliver, so maybe that helps.
Reena E. Krishnan - Wolfe Research, LLC: Does. And I guess, if you could just maybe comment on what the impact of fuel, maybe was in terms of being a headwind last quarter? And what your expectations are maybe for 3Q?
Rodney L. Bell: Sure. Net fuel was a slight headwind. It was just by negative 0.3%, so just, a lot of course [ph] fuel will actually help us but on a year-over-year basis, it did hurt us just a bit.
Reena E. Krishnan - Wolfe Research, LLC: Great. And then in terms of just the lost customer volume. Are you expecting a similar magnitude of impact this -- in third quarter versus 2Q? Or does that get better?
Rodney L. Bell: It'll be about the same in Q3. And then, we had that customer start phasing out in October, and then from November on, the comp is without that customer.
Operator: The next question is from the line of Matt Young with MorningStar.
Matthew Young - Morningstar Inc., Research Division: On the Solutions pipeline, it sounds like you guys might, I don't know, pull back a little bit on some new business. But looking the longer term, are you still seeing more opportunities outside the traditional specialty retail markets? I know that some of your -- recent last quarter and the quarter before that, some of your recent wins have been still in retail. They might be in a little different niche, but are you finding it harder than you originally thought to move in to some of those new markets?
Bruce A. Campbell: It's very difficult unless you can find the right customer, Matt, who has the density -- store density or delivery density in a particular geographical area. That's very difficult to find outside of retail.
Matthew Young - Morningstar Inc., Research Division: Fair enough. Do you think some of those new retail niches that you talked about with these new customers would help with the volatility in profitability for kind of quarters outside the traditional peak season?
Bruce A. Campbell: One of them in particular should be a big assistance to us it in terms of kind of flattening that revenue over the course of the year. They're not perfect in terms of gee, they've got as much business in the second quarter as before. But they do have a little bit more, evenly spread out business, so that's helped us.
Operator: The next question is from the line of David Campbell with Thompson, Davis & Company.
David P. Campbell - Thompson, Davis & Company: The Logistics business was so strong in the quarter, and the Airport-to-Airport was so weak. Are you sure there is no reclassification of business in revenues from airport to logistics? Or is there some? What's going on?
Rodney L. Bell: David, I think it will be helpful if you look at Page 7 of the release. We've got it broken down by segment. There was $12 million that rolled up in consolidated logistics that's due to an acquisition that we did back in March. So $12 million of the consolidated is related to TQI or the acquisition that we did.
David P. Campbell - Thompson, Davis & Company: Yes. And I realized that, but still it's -- but...
Bruce A. Campbell: Wish we could reclassify some of it from logistics and Airport-to-Airport, but that's not the case.
David P. Campbell - Thompson, Davis & Company: So it's -- so TQI is in logistics, is that what you're saying?
Rodney L. Bell: That's correct.
Operator: The next question comes from the line of Ryan Bouchard with Avondale Partners.
Ryan T. Bouchard - Avondale Partners, LLC, Research Division: In the Solutions business, salaries, wage and benefit line was up 19%. Was that kind of new staffing levels associated with the new customers or was any part of that sort of one-time associated with onboarding of new customers?
Rodney L. Bell: It's a little bit of both, Ryan. Probably, the way to think about it, 2/3s of that is going to be an ongoing thing but you do tend to overstaff when you bring on a new customer and make sure that you get it right.
Ryan T. Bouchard - Avondale Partners, LLC, Research Division: Okay. And then, in both the Forward Air and the Solutions segment, insurance and claims were up, quite a bit year-over-year. Just kind of a one-time thing or...
Rodney L. Bell: That's a little bit of both. Part of it's an ongoing thing. We had -- our insurance renewal period starts April 1, so slightly higher premiums on the insurance line. As far as claims, there was one actuarial adjustment for, call it, $0.5 million.
Bruce A. Campbell: We had a year ago that we don't have this year. So last year was probably better than we deserved, and this year's probably a little worse than we deserved.
Operator: Thank you for joining us today for Forward Air's Corp Second Quarter 2013 Earnings Conference Call. And please remember, the webcast will be available on the IR section of Forward Air's website at www.forwardair.com shortly after this call. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.